Operator: Greetings, and welcome to the Sinclair Broadcast Group's Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Amy, Executive Vice President and Chief Operating Officer. Thank you. You may begin.
David B. Amy - Executive Vice President and Chief Operating Officer: Thank you, operator, and good morning, everyone. Participating on the call with me today are David Smith, President and CEO; Steve Marks and Steve Pruett, Co-Chief Operating Officers of Sinclair's Television Group; Chris Ripley, Chief Financial Officer; and Lucy Rutishauser, Senior Vice President, Corporate Finance and Treasurer. Before we begin, Lucy will make our forward-looking statement disclaimer.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Thank you, Dave, and good morning, everyone. Certain matters discussed on this call may include forward-looking statements regarding, among other things, future operating results. Such statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors. Such factors have been set forth in the company's most recent reports, as filed with the SEC, and included in our third quarter earnings release. The company undertakes no obligation to update these forward-looking statements. The company uses its website as a key source of company information, which can be accessed at www.sbgi.net. In accordance with Reg FD, this call is being made available to the public. A webcast replay will be available on our website later today and will remain available until our next quarterly earnings release. Included on the call will be a discussion of non-GAAP financial measures specifically television broadcast cash flow, EBITDA, free cash flow and leverage. These metrics are not meant to replace GAAP measurements, but are provided as supplemental details to assist the public in their analysis and valuation of our company. A reconciliation of the non-GAAP financial measures to the GAAP measures in our financial statements is provided on our website under Investors' Reports and Filings.
David B. Amy - Executive Vice President and Chief Operating Officer: Thank you, Lucy. Before we go to the results, let me review some of the more meaningful activities that are taking place since our last earnings call. In the past two months we have closed on station acquisition in Chattanooga and entered into agreements to acquire stations in South Bend, Corpus Christi in Lincoln, Nebraska along with a sale of a station in Marquette. These transactions totaled $56 million and including just over $5 million of expected synergies represent a combined 2015 and 2016 EBITDA multiple of approximately 3.7 times. In addition, they are expected to add approximately $10 million or $0.10 per share of annualized free cash flow. We expect these transactions to close at the end of 2015 or the beginning of 2016 subject to receipt of necessary approvals and the satisfaction of closing conditions. With regards to our news content, we expanded news in nine markets during the third quarter, launched Connect to Congress a multimedia initiative that enables members of Congress from Sinclair's news markets to communicate with their constituents on a regular basis. And in October, we debuted our Sunday morning national news show Full Measure with Sharyl Attkisson, which is available on Sinclair stations and through streaming media on the web. We continue to expand our syndication rights on Ring of Honor Wrestling and even entered into our first foreign television distribution arrangement in France. Our local sports division American Sports Network continues to add college conferences and sports rights to its schedule, including the addition of certain Mid-American and American Athletic Conference games through sublicense agreements with ESPN. In addition, for the coming season, ASN added 30 hockey games from top collegiate hockey conferences as well as agreement to televise the Arizona Bowl and Dream Bowl college football games. To-date, ASN has signed up and is producing games for 18 Division I conferences. On October 31, we launched COMET, the first-ever 24/7 science fiction multi-channel network which features more than 1500 hours of premium MGM content in over 60% of the countries reaching over 65 million homes. We also began rolling out our proprietary digital content and video management system which allow us to break news faster on smart devices and to dynamically insert ads. So far, our CMS has been launched in 30 markets and is expected to be fully deployed in all of our news markets by the end of this year. Last but not least, we are thrilled to announce that we reached a significant milestone in the adoption of the Next Generation Broadcast Platform when the ATSC approved the elevation of the entire Physical Layer of ATSC 3.0 to Candidate Standard status clearing the way for the FCC to adopt new rules of the broadcast service. ATSC 3.0 is a very important technological advancement for allowing the television broadcast industry with its more robust and efficient delivery platform to better compete with other forms of media, technology and telecommunications companies. In conjunction with the Candidate Standard status, our subsidiary ONE Media was granted special temporary authority by the FCC to operate an experimental facility in the Washington D.C. and Baltimore markets to implement a single frequency network, or SFM, using the base elements of the new ATSC 3.0 transmission standard. This test is designed to provide real-time assessment of quality of reception service using the new Internet protocol-based standards. Chris will now take you through the third quarter results.
Christopher Ripley - Chief Financial Officer: Thank you, David. Net broadcast revenues for the third quarter were $497 million, an increase of 11% or $49 million higher than the third quarter 2014, and exceeding our guidance by over $10 million. On a pro forma basis, third quarter 2015 net broadcast revenues were 2% higher than pro forma third quarter 2014 primarily due to higher retrans fees in digital advertising that more than offset the absence of political revenues. Television operating expenses in the third quarter, defined as station production and station SG&A expenses before barter, were $292 million, up 18% or $44 million from third quarter last year. However, on a pro forma basis, third quarter 2015 television operating expenses were up 8% versus pro forma third quarter 2014 expenses due to higher reverse retrans, compensation expense, news expansions and ASN production costs on more games. Excluding reverse retrans and investments in ASN, news expansions and the digital content management system, television operating expenses were up only 3% on a pro forma basis. Corporate overhead for the quarter was $16 million, an increase of 7% versus the same period last year, primarily due to higher health care costs. For the year, corporate overhead is expected to be $60 million including $11 million in stock-based compensation. Research and development costs related to ONE Media's work on the Next Gen Broadcast Platform were $5 million in the third quarter. For the year, ONE Media's expenses are expected to be $16 million. Broadcast cash flow was $186 million or 1% higher than last year's third quarter BCF. The broadcast cash flow margin on net broadcast revenues was 37%. EBITDA was $171 million in the quarter, flat compared to the same period last year, but $14 million higher than our guidance. The EBITDA margin on total revenues was 31% for the quarter. Net interest expense for the quarter was $49 million, up $1 million versus third quarter last year on acquisition financings. Our weighted average cost of debt for the company is approximately 5%. Diluted earnings per share on 96 million weighted average common shares was $0.45 in the quarter. We also generated $72 million of free cash flow in the quarter and converted 49% of our EBITDA into free cash during the trailing 12-months ended September 30, 2015. Our free cash flow yield is approximately 6% and our dividend yield is 16% based on our share price at the end of the quarter. And now, Lucy will take you through the balance sheet and cash flow highlights.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Think you, Chris. Capital expenditures in the third quarter were $25 million. For 2015, our CapEx estimate remains unchanged at $90 million. Cash programming payments in the third quarter was $27 million and our full-year estimate remains unchanged at $109 million. Cash taxes paid in the third quarter were $31 million and estimated to be approximately $107 million for the year. At September 30, total debt was $3,891 million. Included in that amount was $150 million of non-guaranteed and VIE debt that were required to consolidate on our books. We ended the quarter with $119 million of cash on hand and $483 million available on our revolver for total liquidity of $602 million. During the quarter, we repurchased $21 million or 800,000 shares of our common stock, including the $16 million quarterly dividend paid, we returned $37 million worth 51% of our third quarter free cash flow to our shareholders, and in addition repaid $15 million of scheduled debt amortization. Total net leverage through the holding company at quarter end was 4.6 times, again this excludes the VIE and non-guarantor debt and is net of cash. The first lien indebtedness ratio was 2.15 times on a covenant of 4 times and our two-year average net leverage at year-end 2015 is expected to be approximately 4.7 times, assuming our current portfolio. Now, David Amy, will take you through our operating performance.
David B. Amy - Executive Vice President and Chief Operating Officer: All right. For the third quarter net broadcast revenues were up 11% versus the third quarter of 2014 with political revenues of $8 million as compared to 34 million in the third quarter of 2014. Pro forma core advertising revenues were up over 1% and slightly better than our expectation discussed in our last quarter call. Turning to our outlook for 2015, for the fourth quarter of 2015, we are expecting net broadcast revenues to be in the range of approximately $538 million to $547 million, down only 2% to 3% as compared to fourth quarter of 2014, due to the absence of political revenues, which were $80 million in the fourth quarter of 2014 versus $10 million that is expected for the fourth quarter 2015. On a pro forma basis, fourth quarter core advertising revenues excluding political, are estimated to be up low to mid-single-digit percent versus the same period last year. For the year, pro forma net broadcast revenues are expected to be $2.010 billion to $2.019 billion versus $2.010 billion last year. While pro forma core advertising for the year is expected to be up low single-digit percent. On the expense side, we are forecasting TV production and SG&A expenses in the fourth quarter to be approximately $312 million versus $274 million in the fourth quarter of 2014. For the year, pro forma 2015 TV expenses are forecasted at $1.165 billion versus 2014 pro forma TV expenses of $1.071 billion, that's a 9% increase, but up only 3% when excluding reverse retrains, a one-time only pension plan termination expense in the fourth quarter and investments in ASM, news expansions, and the rollout of our digital content management system. EBITDA in the fourth quarter is expected to be approximately $196 million to $205 million. On a pro forma basis, for the full year of 2015, EBITDA is expected to be $716 million to $724 million as compared to $811 million pro forma 2014 due to the absence of political revenues. Free cash flow in the fourth quarter is expected to be approximately $117 million to $123 million and approximately $357 million or $3.77 per share for the entire year. We are increasing our expectations for combined free cash flow for 2015 and 2016 to be approximately $825 million to $900 million or an average of $4.35 to $4.74 per share for the year. So, with that, I would like to open it up for questions.
Operator: Thank you. Thank you. Our first question comes from the line of Dan Kurnos with The Benchmark Co. Please proceed with your questions.
Dan L. Kurnos - The Benchmark Co. LLC: Great. Thanks. Good morning and congrats on a good quarter. Just a couple of quick thoughts here. Just, you know, a lot of the upside had to come particularly from retrans we would assume given the flow through to profit. So just maybe a couple high-level thoughts here. First, maybe can you talk about your expectations on retrans, how it's been pacing versus your own excitations you've obviously seen upside from your other peers in the space? And then, secondly, you've obviously had a pretty big push into original programming and original content. So how should we think about this flow through understanding you are paying out a lot of cash to shareholders. Historically, it's been sort of a trial and limited outlay type of process but I'm wondering if with some of the improved profitability if that could change on a go-forward?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Yeah. So, Dan, I will take the first part on the retrans. So our guidance has been that we gave earlier this year for the next couple of years, which would be 2015 and 2016, (16:24) growth rate so that would be after reverse, so we're still on track for that. We are still confirming our guidance for that for 2016. So nothing has changed there. For 2017, preliminarily it looks like net retrans would be single-digit percent growth and the reason for that is really just timing. We only have one MVPD contract that comes up in 2017 and that's Charter.
Christopher Ripley - Chief Financial Officer: On the content front we already, today and historically have paid a significant amount of money for content either to syndicators or networks and what you're seeing evolve from us is for us to vertically integrate and use our leverage to acquire ownership stakes in the content that we distribute. And so, from a capital deployment perspective it's really not a significant shift in our investment strategy. The dollars that are being used to gain ownership are small relative to our total programming spend that's already been going out the door to run our business every day. And so it's just a natural manifestation of when we get to our size you want to avail yourself of those opportunities. So, I wouldn't expect what we're doing on the content to really change our capital investment strategy.
Dan L. Kurnos - The Benchmark Co. LLC: Great. And then maybe just one more on the proprietary CMS rollout. Can you just give us any more granularity or deeper sense of how you expect that to impact monetization once it's fully rolled out?
Christopher Ripley - Chief Financial Officer: Sure. So we expect that the CMS will be fully deployed in our news stations by the end of the year. The effect of the CMS is to create not only a better user experience but also improve the speed and ease in which content can be ingested and deployed on multiple platforms. So the efficiency really – it really improves the efficiency of our newsrooms first and foremost. But it also should have the impact of increasing page views and monetizeable items, be it display or even video ads going into next year. So, we expect that to continue to provide good tailwinds for our digital business.
Dan L. Kurnos - The Benchmark Co. LLC: All right, great. Thanks very much.
David B. Amy - Executive Vice President and Chief Operating Officer: I will add to that that when Chris said expected what we have seen so far is close to 10 fold increases in our unique and our page views based on the new CMS. It's dramatic.
Operator: Our next questions comes from the line of Marci Ryvicker with Wells Fargo. Please proceed with your question.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. I have a couple. Q3 core advertising came in better than expected and it was marginally better but it was still better and Q4 has some nice acceleration from Q3. So just curious what's driving the change in acceleration there? Is there certain category or region or something turning around? And then, secondly, on the expenses for the Q4 revenue guide, it's a lot higher than what we're thinking, but expenses are also higher. So can you just kind of walk us through what's core operating expenses and what might be attributable to all these incremental investments that you're making? Thank you.
Unknown Speaker: On the advertising side, Marci, we were positive on the auto category for third which differed in the first couple of quarters and we're doing quite well in the fourth quarter as well. So a very critical category obviously that drives our revenue is performing better in the back half of the year and that certainly speaks well for looking forward into 2016. We do have other categories that were positive in third and fourth quarter or expecting fourth-quarter. Third quarter was service categories, medical, furniture quite few categories that we enjoyed increases in third quarter and expect the same in the fourth. But I think the big story for fourth is the acceleration and pace of our automotive category we are doing quite well in.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Okay. So Marci, on the operating expenses, our full year corporate overhead is up a couple million dollars from the guidance we gave you last quarter. That's really the increased health care claims that we had in the third quarter. And then the TV operating expenses are up about $7 million versus what we gave you for the full year last quarter, and $6 million of that is the pension termination cost. So the TV operating expenses are really up minimally versus what we gave prior.
Christopher Ripley - Chief Financial Officer: And that $6 million pension, that's a one-time event.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay, so we take that out going forward?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Correct.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. Right. Just one follow-on to the auto question. Is it a certain brand or manufacturer or is it more broad-based because must of the other companies that have reported haven't seen a huge turn in auto. Just curious what's the difference?
Unknown Speaker: I think it's across all manufacturers. Quite frankly, I was looking at it again this morning. There is nothing that actually sticks out one over the other. There is a degree of consistency. The numbers are not huge, but they are clearly better than what they were previously. And we are looking at fourth quarter to low-to-mid single-digit increases in automotive.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thank you so much.
David B. Amy - Executive Vice President and Chief Operating Officer: Thank you.
Operator: Our next question comes from the line of Lance Vitanza with CRT Capital. Please proceed with your question.
Lance Vitanza - CRT Capital Group LLC: Hi. Thanks. I wanted to ask two questions, actually. The first just on the ratings performance of local news broadcast. Any update on the trends that you might be seeing there? And then, secondly, on the regulatory front, I knew you guys spend a lot of time on this. Has there been any change in the progress or the pace of progress on Communications Act rewrite or, I guess, anything that might give you a sense for prospects for any kind of a regulatory relief but in particular on the national ownership cap. Thanks.
Unknown Speaker: I think on the news side, we quite often talk about the investments that we're making. We're expanding time periods and obviously over the course of acquisitions, there were quite a few of our properties that needed significant investments and we've made those investments and we're seeing the results of those investments. And I will give you an example. In West Palm Beach, which we bought, I guess about three years or four years ago, the CBS affiliate there, we are doing a bang up job. When we took that property over it was in distress. And now, it's clearly a significant number two competitor in the marketplace. And we have similar stories like that throughout our resume of television stations. Our commitment to building the news product is second to none and we are seeing the results. So we are very pleased with that.
David B. Amy - Executive Vice President and Chief Operating Officer: Yeah. We are seeing clear growth in our morning news parts especially where the audiences are moving towards and we're seeing a real nice growth story in all of our morning news. And as Steve mentioned, our investments, we just put a new set in our Birmingham operations, our ABC affiliate there, and it looks fabulous and we're looking to take over the number one spot in a couple of those day parts this book.
Unknown Speaker: Well, we also made major investments in Seattle and Las Vegas. Both of those are very positive momentum. Generally speaking, we have been able to consistently make positive advancement in ratings in our news.
Christopher Ripley - Chief Financial Officer: And on the regulatory front, there is a rewrite on the act that's been circulated and talked about that and, quite frankly, we all think that that's what needs to be done. But we don't have any visibility on when that would happen, it obviously could include very controversial issues like net neutrality, which could bog it down. So we don't have any visibility to share with you there. However, we have had decent success on the regulatory front and currently there is a JSA grandfathering rider which is going through the corporation's process right now which we believe has a good chance of getting through given that the budget deal was struck. I guess, it was a couple of weeks ago now. So we're feeling good about prospects there and how we have gone for pinpoint relief on that issue. And the next issue is the cap for us to tackle and we've already deployed resources there and we are optimistic that if a rewrite is not going to happen, we can get pinpoint relaxation in the future.
Lance Vitanza - CRT Capital Group LLC: Thanks for the update.
Operator: Our next question comes from line of Davis Hebert with Wells Fargo Securities. Please proceed with your questions.
Davis Hebert - Wells Fargo Securities LLC: Hi, good morning everyone. Thanks for taking the questions. Maybe a confirmation question and I apologize if I've missed this. Did you give a pro forma EBITDA year-over-year exchange for the fourth quarter?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Let me take that one, Dave. For Q3?
Davis Hebert - Wells Fargo Securities LLC: No, for the fourth quarter, the guidance you gave?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Q4 pro forma EBITDA is $196 million to $205 million.
Davis Hebert - Wells Fargo Securities LLC: And is there a year-over-year change versus pro forma?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Yeah. Q4 2014 pro forma EBITDA was $263 million.
Davis Hebert - Wells Fargo Securities LLC: Okay. Thank you. And then, on digital, I saw on the press release up 34% and I just wanted to know if you can provide some clarification around that. How much of your net broadcast revenue is digital and is all of that growth organic?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: So, the pro forma number is running about high-teen percent on the growth for digital on a pro forma basis.
David B. Amy - Executive Vice President and Chief Operating Officer: Yeah. I would say, yes, it's organic in terms of how we define digital versus time sales. If it's not a digital, it's not a shifting time sale from our TV stations over to a digital number, if that's what you mean by organic. It is purely digital type of verticals that we have that the stations sell. It's a combination of reaching out to the local advertiser in regards to their TV advertisement expense plus how they need to reach their customers through digital means. So it's incremental and additive to our line.
Unknown Speaker: Yeah. In fact, we are adding products at a very rapid rate that really get us into the digital services/digital agency services business. And this is basically taking non-television revenue and managing for local advertisers who usually are also TV advertisers with a completely separate budget, which is somewhere ICR Digital growth really benefiting in the coming few years.
Davis Hebert - Wells Fargo Securities LLC: Okay.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Davis, I want to go back to one question. On the EBITDA change, just keep in mind, that in Q4 we lose all the political that we had last year. So when you exclude the political, our EBITDA change is actually up this year.
Davis Hebert - Wells Fargo Securities LLC: Okay. Okay. That's helpful. And then last question. The FCC was required to issue this NPRM around the totality of circumstances test and just curious if you think, they will tackle any of these questions in the next 12 months? Is there any action we should expect from the FCC beyond what they have already done?
Christopher Ripley - Chief Financial Officer: So, we don't expect much to happen there in the near-term on that particular issue.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Yeah. Davis, just recall that that NPRM which really isn't an NPRM, it's a list of questions and that was something that Congress has mandated the FCC to put out. So it wasn't something that they put out on their own initiative.
Davis Hebert - Wells Fargo Securities LLC: Okay. That's helpful. Thank you so much.
David B. Amy - Executive Vice President and Chief Operating Officer: Thank you.
Operator: Our next question comes from the line of Tracy Young with Evercore. Please proceed with your question.
Tracy Young - Evercore Group LLC: Yeah hi. I have one clarification and then one question. I didn't see in the press release your current ownership reach. Could you just tell us that? And then also you've increased your free cash flow guidance. How should we think about that in terms of your capital allocation? Thank you.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Yeah. So the current ownership reach is 38%.
Christopher Ripley - Chief Financial Officer: And that's pro forma for all 10?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: For 10 (30:36).
Tracy Young - Evercore Group LLC: Okay. And then just in terms of your free – you raised your free cash flow guidance. Could you just remind us how we should think about your capital allocation going forward?
Christopher Ripley - Chief Financial Officer: Sure. So, broadly speaking we think about it in four buckets. The first being payments that we're already committed to which includes our $66 million dividend and about $50 million of debt, a mandatory debt repay. That's one bucket. And we certainly look to increase our dividends over time in a steady measured manner. The second bucket is for station acquisitions which, as you can see this year, has been a more quiet year for us but we have put to work $56 million so far at extremely accretive levels. So we look to continue to do that. And then next stuff is investments and adjacencies like content and cable. And then, lastly is share repurchases. And we look at everything on a return basis. So we look to maximize our return on capital wherever it goes between those last three buckets and to the extent that we can't find higher returns in station acquisitions or investments in adjacencies we will look to increase our share of repurchases.
Tracy Young - Evercore Group LLC: Okay. Thank you.
Operator: Our next question comes from line of James Dix with Wedbush. Please proceed with your questions.
James G. Dix - Wedbush Securities, Inc.: Yeah, thanks very much. I just had one housekeeping question. When you talk about core advertising growth, how you treat political? Are you pulling it out in its entirety?
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: Yes, that's correct.
James G. Dix - Wedbush Securities, Inc.: Okay. Great. And then when you look at the mix of auto on your digital platforms versus your non-digital platforms, is there anything you can indicate in terms of just how big auto is on digital versus kind of your core business, which I assume is still well over 20% for your core broadcast business. I'm wondering whether you're seeing something similar in the digital side or something different?
Unknown Speaker: We see auto and digital as an area that is going to provide us an opportunity to really grow our digital business in the future as we have developed products that are targeted specifically at dealers. To answer your first question, I think currently digital lags linear TV slightly in terms of the makeup but we are very excited about advancements we've been able to make in the digital area specifically targeted at dealers and dealer associations.
James G. Dix - Wedbush Securities, Inc.: Would auto still be a double-digit?
Unknown Speaker: Yes.
James G. Dix - Wedbush Securities, Inc.: Okay. Okay, great. And then my last one is just on the update in terms of the other potential catalyst for spectrum mainly the incentive option. Is there any update that you have in terms of how you are thinking about participating and potential ranges of valuations that people should be thinking about for you in terms of that participation? Thanks.
Christopher Ripley - Chief Financial Officer: So, we're not updating any of the numbers that we previously talked about that's related to the auction. We think the analysis that we did last quarter that indicated approximately $2 billion of proceeds with a 3% or less BCF hit is a reasonable estimate based on publicly available information. Since that time we've hired advisers; we have full nationwide simulation up and running. We have an auction team running 24/7 right now talking to multiple parties on channel shares so we can optimize our outcome. And as I think most of you know, there are a lot of unknowns that go into the auction including the participation of all the other broadcasters including the ultimate clearing target and including the ultimate foreign (35:25) proceeds being enough to satisfy the clearing target. So I point all that out just so that everyone understands that for us to get anymore – give anymore guidance on the auction I think is probably not prudent at this time given the unknowns. But, we are in place to participate and optimize our spectrum portfolio versus our future ATSC 3.0 data opportunities. And I think, in closing, I would say that we expect when we look at the opportunities available to Sinclair, given the breadth of our portfolio over 81 markets now, and the number of multi-station markets, that affords us I think an incredible opportunity to participate here and do well.
James G. Dix - Wedbush Securities, Inc.: Great. That's very helpful. Thank you.
Operator: Our next question comes from the line of Alexia Quadrani with JPMorgan. Please proceed with your questions.
Alexia S. Quadrani - JPMorgan Securities LLC: Hi, thank you. Just jumping back to your commentary earlier on advertising, I can see (36:51) FOX is having a bit better performance on network this season, are you seeing any positive impact to your ad trends from that? And then I just wanted to go back to your commentary on auto advertising. We've seen I think the October numbers came out yesterday with some of the highest sales we've seen in 10 years and it looks like incentives are up significantly as well. In your history obviously dealing significantly with the auto industry, how much of this is sort of a leading indicator in the sense that we should see very healthy auto spending for quite some time given some of these numbers.
Unknown Speaker: Well, I think we're pleased we moved the needle a little bit on third quarter with specifically the FOX Network was a little bit better in the third quarter than second quarter. We anticipated that and it was a pinch better. (37:38) for all intents and purposes really is debuted in the fourth quarter, although the first episode may have aired in September and the ratings were obviously still extremely significant and we're expecting a little bit better performance from FOX in fourth quarter. But there is still an issue, they are still struggling in terms of their overall performance, but certainly that show certainly helps the performance and we're seeing the results of that so far. In terms of the car advertising, as I mentioned, what's encouraging for us is the back half of the year is positive and fourth quarter is significantly better than third quarter. So we're cautiously optimistic going into 2016 that that trend will continue. So the back six months of this year has been very good for us on the automotive category.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you.
Unknown Speaker: Thank you.
Operator: Our next question comes from the line of Barry Lucas with Gabelli & Company. Please proceed with your question.
Barry L. Lucas - Gabelli & Company: Thank you and good morning. Just two areas. I was hoping given your station locations in Iowa you could provide a little bit more color on what you're seeing in political and then I want to come back to ATSC 3.0 if we may?
Unknown Speaker: I like what we're seeing in political. Actually our fourth quarter number is already better than we have budgeted for. Every dollar that we place between now and the end of the year for fourth quarter is gravy. So the dollars are coming in. We expected them to come in and we're not disappointed. So I think it bodes well going into 2016. We've made every political number throughout the 2015 in most quarters better than what we anticipated and quite frankly, in fourth, the quarter that we're in right now it's clearly better than what we anticipated. So I think that's speaks very well. We are starting to see the Iowa race heat up, dollars are coming in as we speak and we're counting them. So it looks like a very robust political quarter for us much better than what we had anticipated.
Barry L. Lucas - Gabelli & Company: Great. Thanks, Steve. And if I can drill down a bit more on ATSC 3.0 now, it is a Candidate Standard. So, bureaucratically what comes next? How does the rollout proceed and could we talk a little bit about implementation and the timeframe for that as well, including what are the costs?
David D. Smith - Chairman, President & Chief Executive Officer: Yeah. The next step, Barry, typically are people take what's been adopted as a Candidate Standard and they start testing it. To see if it does everything that it is supposed to do and we are obviously involved in the process and we'll be doing a full-blown demonstration at the CES in January as well as even a larger demonstration in Las Vegas at the NAD in April next year. We will also be doing the first ever in this country single frequency network where we're going to couple Baltimore and Washington together to a really serious large-scale long-term businesses development opportunity. So we're very happy that the 3.0 is now kind of through the window, if you will, of the ATSC political process and technical process. And what happens now is the industry sometimes in the immediate future will get behind the Standard and will approach the FCC and say we're ready to make a change and start that process. So I think over the next six months to eight months you are going to see some -- probably some rapid movement. So much clearer understanding in terms of what the capability of future platforms is going to be and people will start talking about this is as models or one thing or other. So it's all good.
Barry L. Lucas - Gabelli & Company: Great. Thank you, David.
Operator: Our next question comes from the line of David Bank with RBC Capital market. Please proceed with your questions.
David Bank - RBC Capital Markets LLC: Okay. Thanks. Good morning, guys.
David B. Amy - Executive Vice President and Chief Operating Officer: Good morning.
David Bank - RBC Capital Markets LLC: You announced a partnership with Visible World to improve the monetization of your inventory and sort of the efficiency of the platform like almost six months ago. I guess, can you talk about the progress on that venture and how it's impacting your monetization and whether or not it's getting broad attraction generally across the industry?
Christopher Ripley - Chief Financial Officer: Sure. So what's going on with that venture right now is Oxmix (42:57), a media group is being formed as a separate entity for a Visible World as a vendor to Oxmix (43:04) and a minority owner. So that formation is underway. We're in discussions with multiple other broadcasters to join Oxmix (43:12) to make this platform more national in scope. The technology that will power the network and automate the sales placement and reconciliation process is being developed, as we speak, by Visible World and they expect that to be ready here at the end of this year or at the beginning of next year. And that's an important step because this is an incredibly laborious process to place ads across multiple stations. But we are actually doing it on an annual basis today for our own network and it's not a big number but it is producing sales for us and it is accretive. So we are encouraged by our internal efforts to sell on a network basis and Oxmix (44:10) when its formation is complete and the technology is in place, which will be next year, it should start to take effect.
David Bank - RBC Capital Markets LLC: Thanks.
Operator: Our next question comes from the line of John Huh with Wells Fargo. Please proceed with your question.
John J. Huh - Wells Fargo Securities LLC: Good morning, guys. Can you just confirm that digital is included in your core advertising commentary and if it is would you be able to breakout the core pacing from digital in Q3 and Q4? Thanks.
Lucy A. Rutishauser - Senior Vice President-Corporate Finance and Treasurer: So, it is included, John but we don't break that out because there's too many of the deals that are sold now are package deals across our linear and digital assets.
John J. Huh - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Mr. Amy, it appears we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
David B. Amy - Executive Vice President and Chief Operating Officer: Thank you, operator, and thank you, everyone. We're glad that you participated on our earnings call this morning. And, as always, if anyone has any additional questions feel free to contact us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.